Operator: Good morning. My name is Sean. I will be your conference operator today. At this time, I would like to welcome everyone to Lear Corporation's First Quarter 2015 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. [Operator Instructions] Thank you. Vice President of Investor Relations, Mr. Ed Lowenfeld, you may begin your conference.
Ed Lowenfeld: Thank you, Sean. Good morning, and thank you for joining us for our first quarter 2015 earnings call. Our earnings press release was filed this morning with the Securities and Exchange Commission, and materials for our earnings call are posted on our Web site, lear.com through the investor relations link. Today's presenters are Matt Simoncini, President and CEO; and Jeff Vanneste; Chief Financial Officer. Also participating on the call are several other members of Lear's leadership team. Before we begin, I'd like to remind you that during the call, we will be making forward-looking statements that are subject to risks and uncertainties. Some of the factors that could impact our future results are described in the slide titled Investor Information at the beginning of the presentation materials and also in our SEC filings. In addition, we will be referring to certain non-GAAP financial measures. Additional information regarding these measures can be found in the slide labeled Non-GAAP Financial Information at the end of the presentation materials. Slide 3 shows the agenda for today's review. Following the formal presentation, we'll be pleased to take your questions. Now, please turn to Slide 5, and I'll hand it over to Jeff.
Jeff Vanneste: Thanks, Eddie. Lear is off to a strong start in 2015 with higher sales and record core operating earnings. Sales in the first quarter were $4.5 billion, up 4% from a year ago. Excluding the impact of foreign exchange, sales grew by 12%. Core operating earnings increased 21% to $294 million, the highest quarterly earnings in our history, and margins were higher in both business segments. Excluding restructuring and special items, earnings per share increased by 24% to $2.28 per share. Eagle Ottawa will further strengthen our industry-leading sewing and fabric capabilities, and enhance our ability to differentiate our seats with unique designs, and a higher level of craftsmanship. At the same time, Eagle Ottawa will provide another platform for sales growth and product diversification. We continue to return cash to shareholders, and in the first quarter we announced increases in our existing share repurchase and dividend programs. In recognition of the performance improvements we have made in the business, S&P increased our credit ratings outlook to positive, during the quarter. Slide 6 shows vehicle production in our key markets for the first quarter. In the quarter, 22.1 million vehicles were produced globally, up 2% from 2014. Our major markets all showed increases, with China, Europe, and North America up 8%, 3%, and 2% respectively. Production was mixed in other key emerging markets, with India up 6%, and Brazil down 15%. Slide 7 shows our reported results for the first quarter of 2015. Our reported sales in the quarter increased by 4%, from a year ago to $4.5 billion, this includes the $369 million unfavorable impact from foreign exchange related primarily to a weaker Euro and Brazilian Real. Pretax income before equity income, interest, and other expense was $261 million, up $45 million from a year ago. Interest expense was $24 million, up $8 million, primarily reflecting debt incurred to finance the acquisition of Eagle Ottawa. Depreciation and amortization increased by $10 million, primarily reflecting the acquisition of Eagle Ottawa. Net income attributable to Lear was $147 million, up $25 million. Slide 8 shows the impact of non-operating items on our first quarter results. During the quarter, we incurred $8 million of restructuring costs, primarily related to a plant closure in Europe, and census-related actions. Other special items of $25 million primarily reflect one-time costs related to the Eagle Ottawa acquisition. Excluding the impact of these items, we had core operating earnings of $294 million, up $50 million from 2014. The increase in earnings primarily reflects favorable operating performance, the benefit of new business, increased production on key platforms, and the Eagle Ottawa acquisition, partially offset by the unfavorable impact of foreign exchange. Other expense in the quarter included $14 million in costs related to the early redemption of our 2020 bonds. Excluding the impact of one-time items, other expense was up $4 million, primarily reflecting losses associated with foreign currency fluctuations. Adjusted for restructuring and special items, net income attributable to Lear was $181 million, and diluted earnings per share was $2.28, up 24% from [2014] [ph]. Slide 9 shows our first quarter adjusted margins -- as well as for both business segments. Total company adjusted margins were 6.5%, up 90 basis points from a year ago, and a record for the first quarter. Margins increased in both business segments. In seating, sales of $3.5 billion were up 8% from last year, with adjusted earnings of $219 million, up $43 million or 24%. Excluding the impact of foreign exchange, sales increased by 16%, reflecting higher production on key platforms, the acquisition of Eagle Ottawa, and the addition of new business. Adjusted margins were 6.3%, up 80 basis points from a year ago. The increase in margins from a year ago primarily reflects strong sales growth and favorable operating performance. Eagle Ottawa did not impact seating margins in the first quarter, but is expected to benefit full year margins by 20 to 30 basis points. Our full year margin outlook for seating remains in the 6% to 6.5% range. In electrical, sales of $1 billion were down 9% from last year, excluding the impact of foreign exchange primarily reflecting the addition of new business. Adjusted margins improved to 13.3%, up a 100 basis points from a year ago, reflecting strong operating performance and the benefit of new business. Our full year margin outlook for electrical remains in the 12.5% to 13% range. Slide 10 provides a summary of free cash flow. Free cash flow was a use of $121 million in the first quarter, primarily reflecting the timing of our March 28 fiscal quarter end, as well as increased working capital to support our sales growth. The early fiscal quarter end negatively impacted free cash flow as there were significant customer payments received just after quarter end. Slide 11 provides a snapshot of our capital structure and liquidity. At the end of the first quarter, we had $748 million of cash, and including our unused $1.25 billion revolver we had approximately $2 billion in liquidity. As shown on the right side of the chart, we have minimal debt maturities for the next five years, and a very efficient capital structure with low borrowing costs. We are committed to maintaining a strong and flexible balance sheet with sufficient liquidity, and investment grade credit metrics. Slide 12 provides an update on our share repurchase program. In February, Lear's Board of Directors increased our share repurchase authorization to $1 billion. During the first quarter we repurchased slightly more than 1 million shares for a total of $112 million. Since initiating the share repurchase program in early 2011, we have repurchased 31.9 million shares for a total of $2 billion. This represents a reduction of approximately 30% of our shares outstanding at the time we began the program. The average price paid to repurchase shares over the life of the program is approximately $63.50. At the end of the first quarter we have a remaining share repurchase authorization of $888 million, which expires in December of 2017. This represents approximately 10% of our current market capitalization. Slide 14 highlights the key assumptions in our 2015 outlook, which reflects the latest production assumptions in our major markets. Global production of 87.3 million units is generally consistent with our prior guidance. Our 2015 financial outlook is based on an average Euro assumption of $1.10 per Euro, which is down 17% from 2014. This implies an average exchange rate of $1.09 per Euro for the remainder of the year. Slide 15 outlines our detailed financial outlook, which is unchanged from what we announced earlier this month. Lear expects net sales in the range of $18 billion to $18.5 billion, and core operating earnings in the range of $1.175 billion to $1.225 billion. Free cash flow for 2015 is forecasted to be approximately $575 million. Now, I'll turn it over to Matt for some closing comments.
Matt Simoncini: Great job, Jeff, thank you. As shown on Slide 17, our balanced strategy of investing in our business, maintaining a strong financial position, and returning cash to our shareholders is delivering superior value to both our customers and our shareholders. Lear's share prices steadily improved over the past several years, reflecting the company's strong sales and earnings growth. Our total shareholder return for the past three years is 180%, which is significantly higher than the automotive peer group, as well as the broader market. Slide 18 highlights Lear's valuation multiple. While our recent performance has been strong, and our valuation has improved, Lear remains undervalued relative to the peer group. In summary, we continued our positive momentum in the first quarter with record quarterly earnings, and we are on track to deliver our sixth consecutive year of higher sales and earnings per share. As Jeff mentioned, the acquisition of Eagle Ottawa will provide a platform for improved craftsmanship and additional sales growth. Combining Eagle Ottawa's leather expertise with Lear's world-class fabric and sewing capabilities will allow us to provide highly differentiated designs for our customer, while improving quality and lowering costs. It would also provide additional sales growth as leather content continues to increase, and we leverage our existing customer relationships to gain market share. Lear is also well positioned to take advantage of major industry's trends such as global platforms, increasing electrical content, improved fuel efficiencies, and growing consumer demands for comfort, convenience, and safety features. Lear is in the strongest competitive position in our history. We have a focused strategy that is delivering results, strong market positions in both business segments, a footprint that is second to none, a well-established and growing business in China, a strong financial position, and we have the best team in the industry. And with that, now I'd be happy to take your questions.
Operator: [Operator Instructions] Your first question comes from the line of John Murphy from Bank of America Merrill Lynch. Your line is open.
John Murphy: Good morning, guys.
Matt Simoncini: Good morning, Murph.
John Murphy: Just a first question, Matt, we just got back from Shanghai, I know Eagle Ottawa is a great business, but I was a bit surprised there were some luxury vehicles that were launching over there, where Eagle Ottawa was cited as a differentiating part of the vehicle, or the leather from Eagle Ottawa. I'm just curious, what kind of position Eagle Ottawa has in China specifically, and is that opening more doors for share growth in China for you?
Matt Simoncini: We have a great position. If we're not number one, we're a close number two in leather. It's hard to measure sometimes with the information there is not as clean as it is in North America. Murph, for us, what's happening there, besides the Western automakers' business growth, what we're seeing is the domestic automakers trying to penetrate with their own products. And in order to do that they're going to need to be able to provide craftsmanship at a level comparable with the Western automakers, and that's providing a great opportunity for Eagle Ottawa and for Western suppliers like Lear that can deliver that type of quality. So I think it can be a differentiator for growth, and I think there's a lot of upside in that market for Eagle Ottawa.
John Murphy: Okay. And then a second question, I hate to call you guys out on this, but your margins in the quarter for seating were sort of at the high-end, what you're talking about for the full year, and then your margins for electrical were actually above the high-end, what you're talking about for the full year. So is there something that you're expecting to fade through the course of the year, or was there some unusual strength in the first quarter that really supported the great margins in the quarter?
Matt Simoncini: Well, overall we had a nice mix in seating, a little softness in certain areas around the globe like South America, but overall, it was a clean quarter, John. I would expect the performance to continue. You know that the second quarter is usually our strongest quarter or one of our strongest quarter from a normal seasonality and cadence. So I would tell you that I would expect the performance to improve. It's still relatively early in the year. We're just -- as we just closed the first quarter only in April, if our assumptions on production and currency remain stable I'd expect to post numbers into high-end of the range.
John Murphy: Okay. And then just lastly, obviously, we agree with you at current levels we'd be buyers of the stock and it sounds like you're being pretty aggressive in a market, which is great. But Matt, there certainly have been some rumors of M&A in the seating market, and just trying to understand where -- at some point what levels would you become a seller? I mean, obviously you're a buyer right now, but just trying to understand if there was a big consolidator that came in, sort of what levels would you consider potentially selling business at?
Matt Simoncini: Well, as a publicly-traded company, arguably we're for sale every day, John, and the shareholders would make a decision if there was an offer that was compelling. I don't really see that right now. For us, we're more focused on investing in the business. From an acquisition standpoint, we're very focused on electrical, and trying to improve our capabilities in software there to take advantage of what is becoming an incredibly exciting time in that segment, its content is exploding. In the seating, we are pretty happy with our product capabilities. I can't really see us making a meaningful acquisition in that space or be part of the consolidation effort. John, so it's a tough -- in some ways it's a tough question to answer, but I really don't see us participating at this point.
John Murphy: Okay, great. Thank you very much, great quarter guys.
Matt Simoncini: Thank you.
Operator: Your next question comes from the line of Itay Michaeli from Citi. Your line is open.
Itay Michaeli: Great, thanks. Good morning everyone, and congrats.
Matt Simoncini: Thank you.
Itay Michaeli: Just a question on seat revenue growth, another quarter where organically, ex Eagle Ottawa, you are outgrowing the market really well, I think, Matt, you mentioned some of the platform mix. Can you maybe draw down a little bit more -- is it just that the platforms you are on are -- happen to be stronger? Or are you actually seeing better content and take rates are pushing up your revenue growth relative to the market? It's been a pretty consistent and impressive trend here.
Matt Simoncini: Well, it's pretty much all of it. It's including the volume and mix, the business win on a backlog, and content growth. When we speak about content growth, and many times we focus on electrical because it's been so high and so fast, but the reality is even seats are becoming more contented as people ask for more features, and leather continues to penetrate, and power continues to penetrate, and we look for entry level vehicles to expand their comfort and convenience feature. So we're benefiting from all of it, including our footprint in China, which is allowing us to participate in that business and gain share. And we consistently gain share in that space, and I'd expect that to continue. So it's not one factor, it's several. The business is performing well. We're digesting what has been a historic changeover of the portfolio, where two-thirds of the portfolio has changed over the last several years. Now we're starting to digest that, digest some of the growth that we had in North American's structured business. So it is making the steps, and improving as we expected, and we'd expect that improvement to continue, both on a top line and the bottom line.
Itay Michaeli: That's great to hear. Is there any way -- I know it's never an easy question but when we think about post-Eagle Ottawa and some of the mix factors that are playing favorably for you, roughly how you think -- how we should think about the next couple of years for seating revenue relative to industry production? Do you think you grow industry plus a few points in line? Any kind of latest thoughts there?
Matt Simoncini: Well, we're continuing to win business in both segments, but in seating as well. The backlog would tell you alone that that's net new business, and the backlog would tell you that we would gain share at a rate consistent with what we've done over the last year, and the last 24 months. I'd expect that to continue, and we're continuing to win business. I don't see any real changes, and again, in our backlog as opposed to how others may measure it, our backlog is net new business. So we've already factored in any roll-offs or business that's lost, and it only includes business that's booked. And so I think it's a fairly conservative estimate of where we're going to be, and that would tell you that we're going to continue to gain share and add growth a few points over the industry.
Itay Michaeli: Great. And then just one quick housekeeping, it looks like your D&A and CapEx both ran a bit below in the quarter of what's implied for the full year guidance. Is there anything happening there as Eagle Ottawa ramps up that would cause those to be higher the next couple of quarters? Or just any color there would be helpful.
Matt Simoncini: I think it was more than anything else timing -- a little bit lower, but I think it's going to pick up a little bit as we go through the rest of the year. Not necessarily tied to anything with Eagle Ottawa, it's just really a matter of timing, both on the capital side, and on the D&A side, which will follow.
Itay Michaeli: Great. And then just lastly -- and we ask this occasionally, on restructuring how much is left beyond 2015 prospectively, both on an expense level and maybe even on a cash level now that you are kind of integrating Eagle Ottawa and kind of moving on here?
Matt Simoncini: I use the baseball analogy always. I think we're in the eighth inning. The vast majority of the component work that needs to be moved into lower cost regions, and some of the thrifting of just in time facilities have -- most of it's been done. I would expect it to get back to more normalized type restructuring over the next couple of years down to something in the -- I don't know, $50 million-a-year range. Right now, though the investments that we are making in restructuring are paying dividends, both in annual performance but also in the ability to win new business, which requires us to have the best foot print. So there's a couple locations that still need to be moved, if you will, but overall I think you'll see it start drifting down to more normalized restructuring levels.
Itay Michaeli: Terrific. Thanks so much for the color. Thanks, guys.
Operator: Your next question comes from the line of Dan Galves from Credit Suisse. Your line is open.
Dan Galves: Hey, good morning. You talked a little bit about the future opportunity from the local Chinese brands, but right now those brands appear to be outperforming the foreign JVs. Can you give us a sense of your exposure to each today, and how does it impact your business if those local brands continue to outperform?
Matt Simoncini: I think it would be great if they continue to perform. I mean our focus really in Asia for the most part is with the domestic automakers that have foreign partners, and we serve both sides of the house, if you will, both the foreign brands but also the domestic brands. I think we're one of the biggest with domestic brands, quite frankly, in seating and catching very quickly in electrical with our relationships with FAW, and BAIC, and Dongfeng, and SAIC. So we've got great relationships with all the major domestic automakers. Our business is, I would probably say about 60/40 in seating, and a little bit less than that in electrical, but we have great relationships, and they're looking for suppliers like Lear to help them develop the domestic brands. Whenever I'm over there and meeting with the automakers that's the topic of conversation, even if it's Chang'an, or Dongfeng, or SAIC, even. So I would expect that trend to benefit Lear quite a bit.
Dan Galves: Okay, okay, thanks. And second question is just, you've still got quite a bit of room to your liquidity and debt targets even today, which would impact the seasonal low point in cash. Can you address thoughts on where liquidity and debt will go over the next few quarters?
Matt Simoncini: Well, I think that you're right, we did feature a low I think in the first quarter, which is normal, and part of that's due to the timing of our fiscal quarter end. If we look at it on a trailing 12-month basis, which we put in a package, we're about 1.4 gross leverage, I think over time that will probably migrate down to about 1.2 times gross leverage, which would give us about $400 million of additional flexibility to take on additional debt for opportunities to further invest in the business. Assuming those possibilities are out there, we would potentially utilize that liquidity to further invest in the business. But we have no plans as of right now to do so.
Dan Galves: Got it, and just, is there any commentary on discussions with Marcato Capital after you received the letter on February 3rd?
Matt Simoncini: We've had real positive conversation. I haven't spoken to Mick [ph] recently, but subsequent to the letter the conversations were positive. In certain cases we agree, in other cases we disagree, but overall the one thing we do agree is that Lear's undervalued and that it's a great investment and that we agree with them. We also agree with them that's it's a worldwide company. So did that…
Dan Galves: We agree too. Thanks a lot. Okay.
Operator: Your next question comes from the line of Emmanuel Rosner from CLSA. Your line is open.
Emmanuel Rosner: Hi, good morning.
Matt Simoncini: Good morning.
Emmanuel Rosner: I wanted to ask you first another question about China. Can you just tell us what your performance was I guess in terms of revenue gross in the quarter, both consolidated and not? I know we're seeing some pretty strong performances from a lot of the Western suppliers. What was yours?
Matt Simoncini: Well, we've grown faster in the industry. We don't report China out specifically as a segment. I would tell you that Asia overall has outgrown the industry and we've outgrown China from a gross rate standpoint, especially in seating but also in electrical. And that's true for both our consolidated joint ventures and our non-consolidated joint ventures. At Lear I think it's important to note that we don't include the earnings from our non-consolidated joint ventures in our operating earnings. We don't think that's proper. So we exclude it. So it's not part of the earnings flow that we're reporting when we talk about seating margins, it's not included in here. But both our non-consolidated joint ventures and our consolidated joint ventures grew faster in the market.
Emmanuel Rosner: Okay, that's helpful. And then just in responding to your previous question about your China exposure, you were saying Lear is less than 60/40 in seating. Was that a seating versus electrical or was that…
Matt Simoncini: No, no, what I was talking about is right now our opportunities, we grew originally with the Western automakers and their products that are also there. But those relationships that were established with the foreign joint venture partners allowed us to penetrate on the domestic vehicles, and what I was talking about is the relationship between domestic automakers and foreign automakers over there being 60/40, 60/40 being foreign partners.
Emmanuel Rosner: Okay. And then one last one on the acquisition strategy, so you were saying you were focused on the electrical business, in particular in the building position and software. At the same time, it feels like the wiring business is still something that's quite fragmented on a global basis. Would you also be interested in -- do you see the potential for consolidation in the industry? But also would you be interested in participating or forcing that?
Matt Simoncini: Yes, absolutely, it is somewhat fragmented. There's the big four. Obviously Delphi, Yazaki, Sumitomo, and us, and then there's strong regional players and then some really niche players. We would, and again, everything is under the backdrop of doing it for the right valuation. We have to make sure that it makes sense for our shareholders and we have to make sure that it makes sense for our customers, but yes, we would be interested in that.
Emmanuel Rosner: Okay, great, thank you.
Operator: Your next question comes from the line of Colin Langan from UBS. Your line is open.
Colin Langan: Oh, great. Thanks for taking my question. Do you have any update on -- in the past, you mentioned South America had been a drag in the metals business in North America. Where are you in sort of the process in getting those back, their overall margins?
Matt Simoncini: Yes, South America and lower sales, the loss was relatively flat in seating. The operations proved to break-even in electrical. And I think the beauty of Lear is that we are so geographically diversified that we can absorb a region when it stumbles like this in possibly in Russia, and still post the type of numbers that we did. It's a longer term play both in customer support but also in the ability to fix, to restructuring and maybe working through certain commercial deals to get their business back on its feet. So the loss was flat, falling with the fourth quarter in seating and a little bit better in electrical. And the North American structures business, that business is improving. It did improve year-over-year and it did improve from the fourth quarter as well. So we're making nice strides. And I will tell you we're making nice strides in South America even though the environment is becoming very challenging, more challenging if that's possible.
Colin Langan: Should we think of those as they continue to improve that there should be balance in the margin just to go with the rest of the year or are they…
Matt Simoncini: I think that's part of the reason why we would expect the margins in seating to return more to target margins longer-term of around 7%. Those would be two areas we would expect to improve to get us there.
Colin Langan: And you've said in prior presentations that you are against splitting the seating and electrical business, but do you think the company is trading at a discount. What do you think you could do to actually address the evaluation valuation discount? Do you think maybe being more aggressive with share buybacks, any thoughts there on how you [technical difficulty] to improve that?
Matt Simoncini: Well, first and foremost I think the performance of the company will drive the valuation. Specifically I think the valuation will be benefited by the type of performance we're seeing in seating and the margins expansion in seating. I think electrical people are starting to recognize the value of that business, and I think you're seeing the margin expansion there will drive through their multiple expansion. We've been very aggressive with the share repurchase, but at the end of the day I don't think a share repurchase program in itself will drive a valuation improvement. I think really it's all about performance and communication. We're doing that.
Colin Langan: Okay, thank you very much.
Operator: Your next question comes from the line of Brian Johnson from Barclays. Your line is open.
Dan Levy: Hi, good morning, Dan Levy on for Brian. Thanks for taking the question. Could you provide us with some context on the disparity of organic top line growth between electrical and seating? I understand that seating has benefited from launch activity on a number of platforms but it just seems that even increased electrical architecture content and vehicles, that the growth profile for electrical would be much closer to what you've seen in seating. Is it just a function of underperformance for electrical on specific platforms?
Matt Simoncini: It's driven probably more than anything by the Euro. This business has a little bit bigger in Europe as a percentage than seating and the Euro impact of this, and I think if you took exchange out of it, you'd see a growth rate that doubled the industry and would be consistent with the content growth in a business that's gaining share. There was some mixed shift headwinds in the quarter on some certain car lines that they have high content on, but it's important to look at that segment I believe over the last several years in the growth rate that it's had from a compounded standpoint has been in certain years almost tripled the industry growth. So it's just an odd cadence right now. That business is continuing to win new programs and gain share. And I would expect it to continue to grow and it has been growing on a exchange consistent basis, if you will.
Dan Levy: You said organic growth for the segments was 2%, is that correct?
Matt Simoncini: The industry growth was 2% and that content growth in the segment is between 4% to 5%.
Dan Levy: And do you have a specific target for outperformance over the industry?
Matt Simoncini: I think we can continue to outpace the industry by at least a couple of points in this segment.
Dan Levy: Okay. And just one more follow-on, should we think -- is there any lumpiness in the backlog or customer mix programs, changeovers for electrical? How should we think about the cadence of growth for the remainder of 2015?
Matt Simoncini: It's very consistent. It's not really lumpy, it's fairly consistent. The profile is consistent with the first quarter. So it's actually pretty steady backliner [ph]. There might be 2s or 3s type lumpiness, but nothing really that big as far as revenue.
Dan Levy: Okay. Thank you very much.
Operator: Your next question comes from the line of Patrick Archambault from Goldman Sachs. Your line is open.
Patrick Archambault: Thanks. Good morning. A bunch of mine have been answered but just wanted to focus a little bit on the trajectory margins beyond 2015. How do we think about what the main levers there? So far, based on the discussion we've had today it seems like Eagle Ottawa accretion is kind of mostly this year. You are kind of nearing the end of the restructuring of the components' footprints. So can be go through the key margin levers that are left for beyond 2015? I think Latin America was discussed as one of them but there may be other things, I'm sure.
Jeff Vanneste: Well, I think production numbers in Europe while up are still below their historic numbers. I think getting that segment or that geographic region to start performing closer towards its historic run rate will benefit us with our business segment there, including getting Russia to stabilize; same thing with South America. North American metals is making -- construction business is making nice strides. I think the opportunities are just beginning with Eagle Ottawa, and I think we'll see some improvement with that in the back half of the year. And it's again, and a two thirds changeover of the business segments. It's running that business more efficiently and putting in some of the engineering changes that we can help with our customers to drive lower costs, and then in the end, better performance for Lear. So we're making nice strides, and I think we'll continue to work on those items. And it's important to note that seating that with our current cost to capital that we start returning in excess of our cost to capital when this segment posts margin numbers above 5%. So it's all really good business for us at this point. In electrical, we believe that business can run at above 30%, which is where it's at right now and continue to gain share. That business segment with its current mix of business starts returning in excess of the cost to capital of 6.5, 7 maybe, so again we've got a nice opportunity to create value for our shareholders while continuing to grow both business segments.
Patrick Archambault: That's helpful. Just one maybe clarification on Europe, I think to your point, a lot of suppliers are viewing this as probably the biggest incremental growth opportunity over the next year or two and the hope there is that the incremental margins on the first 15% of that business will be relatively high since it's underutilized. Is that the right way to think about it? Or are there other complications of maybe some initial pricing pressure and some things like that that make it less rosy?
Matt Simoncini: There's always pricing pressure in our business because our customers are under it. And that's just a given. And I think that controlling the amount of the vertical supply chain that we do and having the full engineering capabilities allows us to provide those solutions to our customers. With that being said, I think I don't really see anything what would impact the incremental conversion -- every car line kind of had its own financial D&A. On an average in Europe we're about I would say 10% to 15% on the incremental conversion of the additional volume. While our component facilities are starting to reach some level of high capacity utilization, our just in time assembly plants that are usually dedicated to a specific car line still has a lot of room to improve, and I think that would provide a conversion that would be in the mid-teens. I think there's this -- I think there's upside, I think that market is finally starting to deliver on the promise that we were hoping for the last several years.
Patrick Archambault: Great. And one last one to clarify, so you said Eagle Ottawa, you said, I think, accretive 20 basis points this year to margins. But it sounds like that's really only a start. It kind of spills into next year -- some of that is calendarization and some of that is synergies, I guess?
Matt Simoncini: Yes, it's synergies, it's calendarization, it's the ability to utilize their design capabilities combined with our sewing capabilities to really provide lower cost solutions to our customers, which I think the incremental volumes that will drive will allow us to convert nicely on the margin and still provide a great solution to our customers. So, I do think we're just at the beginning of the value for that acquisition.
Patrick Archambault: Okay, great, thanks for all the color.
Matt Simoncini: You're welcome.
Operator: Your next question comes from the line of Rod Lache from Deutsche Bank. Your line is open.
Rod Lache: Good morning, everybody.
Matt Simoncini: Good morning, Rod.
Rod Lache: First question, just in terms of seasonality of earnings -- I looked back over the past couple of years for electrical and I can't see a single instance since 2011 where Q1 was the peak margin. Typically it's been improving sequentially each quarter. What is different about this year that would give it a different cadence?
Matt Simoncini: Not a whole lot. Timing of commercial resolutions in a broad bucket, Rod, and settlements with customers and suppliers, overall, like I said, if the industry volumes and currency stays the same and the mix stays the same, we'd expect this segment to post towards the higher end of the range.
Rod Lache: Okay. Normally the settlements are like later in the year and that's positive in the beginning of the year. You're dealing with the price down for the new year. That's consistent this year?
Matt Simoncini: Fairly consistent, I mean, there's literally thousands of inputs; that's one of them. Yes, it's fairly consistent. It was a good quarter, clean quarter. There's still some commercial resolutions that need to take place in that segment that could move the margins slightly lower into the range that we gave at '13. Right now we're kind of comfortable at this range. We think this is the range that it'll all perform at if the assumptions hold.
Rod Lache: Okay. And on seating, could you just clarify what your answer was on the South American margins, or South American earnings? Are you saying that is flat year over year or were you saying that it's breakeven, and where is North American structures now in terms of profitability?
Matt Simoncini: Yes, year-over-year first quarter-first quarter, South America was better, Rod. From a run rate standpoint coming off the fourth quarter it was flat, but it was flat on lower sales as we continue to restructure that business. In certain cases kind of trade off programs that may make sense for others to do. So the business is I think performing better even though the losses are flat, it's just because it's on a meaningful reduction in revenue, if you will. The structures business is still below where we expect it to be long term. It is profitable but not yet returning its cost to capital. We still think there's upside there, that business I believe it went through an unprecedented level of growth. We're digesting it; we're doing some things with the footprint and plant layouts. And in certain cases we're working through engineering changes with our customers to try to get the product cost in line with where they needed to be. So I still think both have upside.
Rod Lache: Okay. And lastly, this year your CapEx is in the 2.7%, 2.8% of sales range. Excluding FX and acquisitions, you are suggesting like 4.5% to 7% organic growth. Could you give us maybe a little bit of a rule of thumb on CapEx with the new business configuration? If a normal year down the road was more like 2% or 3% what would your CapEx be as a percentage of sales?
Jeff Vanneste: I think this year the guidance on CapEx obviously includes Eagle Ottawa. Eagle Ottawa runs a little bit higher as a percent of sales mid-4% range, which ultimately when combined with Lear has taken our overall CapEx as a percentage of sales from the 2.5% range to 2.7%. I think you should look on what's coming on board down the road, I think we'll level off on CapEx in the mid-2% of sales range longer term.
Rod Lache: Is that maintenance CapEx or does that include growth CapEx?
Matt Simoncini: That includes the CapEx to support the backlog. So it does include growth CapEx.
Rod Lache: All right. I guess what I'm trying to get out maybe more specifically is, is there a way to think about that in terms of maintenance versus growth CapEx?
Matt Simoncini: At given time you're going to have some maintenance, it might be 10%-15% of the overall CapEx bill, it might be just to maintain the franchise, if you will.
Rod Lache: Okay. But if the growth were to slow -- some companies…
Matt Simoncini: The growth was slow capital would come down obviously, because the vast majority of our capital is to support growth. That means that there's always some level of capital on footprint, and maintaining, and in certain cases moving production, Rod. So you see it trim up to maybe something slightly below. If there was no growth you see it slightly below 2% if there is growth you see it 2.5%. I mean it's not a real big movement quite frankly.
Rod Lache: Yes.
Matt Simoncini: If you look at the history too, probably the best way to guide it would be to look at '08 and '09, and '10, when capital was way low because we didn't have any growth. To me that would keep the maintenance capital -- the bottom.
Rod Lache: But there were also program cancellations at that point of time. Every year you are presumably spending capital on new programs that are launching…
Matt Simoncini: Yes, '10 was -- probably '10 would be a good year to look at, I would think, from a profile standpoint as a percentage of sales.
Rod Lache: Okay.
Matt Simoncini: As a percentage of sales I think there you're -- if I remember right, Rod, it's about a 1.50%, maybe 1.75%, something like that.
Rod Lache: Right, okay, thank you.
Matt Simoncini: You're welcome.
Operator: Your next question comes from the line of Ravi Shanker from Morgan Stanley. Your line is open.
Ravi Shanker: Thanks. Good morning, everyone. If I could just ask the strategic question a different way. I'd say in the last year, you've seen a fair bit of consolidation and change in the interior space with some of the smaller players actually getting bigger. I'm wondering if there is still any connection between interiors and seating, and if the interiors business which has been a pretty hard business over the last decade gets to be a better margin, better return business, if there's any implication at all for the seating business?
Matt Simoncini: No. I mean there is no connection, thank God. No, I don't really see that happening, Ravi. You're right, it is a -- in many cases a highly engineered commodity price product and we exited that segment as part of our portfolio management because we didn't think it made a whole lot of sense for us. I don't envision those businesses combined or extending or overlapping in any way. We have actually no involvement in any interiors business at this point. I don't anticipate getting involved in an interiors business any time soon or at all actually [ph].
Ravi Shanker: Understood. Just a couple of housekeeping, on Eagle Ottawa, I apologize if I missed this, but what was the revenue and EBIT contribution in the quarter?
Jeff Vanneste: I think the sales were just slightly under $200 million, and the margin contribution was just slightly ahead of the overall seat margins for the quarter. So it didn't really move the needle on the overall seat margins.
Ravi Shanker: Okay. In terms of growth is that also going to be consistent with your overall seating business?
Jeff Vanneste: In terms of…
Ravi Shanker: The Eagle Ottawa portion, does that grow in line with the overall seating business?
Jeff Vanneste: No, it grows at a higher -- there's more content growth that we foresee in that segment certainly, given everything Matt talked about on comfort, craftsmanship, where the vehicles go, and in terms of increased leather participation. We see that market or that business growing maybe faster than the overall seat business.
Ravi Shanker: Great, thank you.
Operator: Your next question comes from the line of Ryan Brinkman from JP Morgan. Your line is open.
Ryan Brinkman: Thanks for taking my call. Can you update on the raw material tailwind at least in part I think allowing you to offset the currency headwinds. So which raws are pass-through and are they necessarily 100% pass-through? How should we think about raw material savings being split just sort of generally between automakers and suppliers?
Matt Simoncini: You got to take it individually. I think as a broad brush what we are seeing on commodities is that on a year-over-year basis the commodity prices are generally lower than what they were in 2014, and continue to seemingly go down -- maybe other than copper that recently spiked back up a bit. In terms of customer recoveries, with copper we buy about 150 million pounds of copper on an annual basis, and about 85% of that buy is covered by some type of customer recovery agreement. So that the 15% is our exposure and what we've seen given that exposure is what the lower year-over-year copper costs have seen some tail wind on that. The other large one for us is as a result of Eagle Ottawa obviously in the hide markets. And the hide markets have softened somewhat recently. Now, a lion's share of that hide market buy is covered via customer agreements. So our exposure on the hide markets is relatively small. On steel, obviously that's a big buy; I think our buy that area is about 3.5 billion pounds of steel annually. About half of that buy is directed by the customers. So our exposure to that is nothing with respect to 50% of it. There's about 35% of that steel buy that comes in a fabricated form from our supply base, and about 15% that is a direct buy or coiled steel. And generally speaking, we do not have customer agreements that cover us for that roughly 15% steel buy risk.
Ryan Brinkman: That's very helpful. And then, just a final follow-up on sort of unrelated note -- what impact do you see the lower fuel prices having on your business? Do you think it's a tailwind relative to your exposure to large SUVs that naturally have more seats? But, wanted to get your thoughts there. Then, also in terms of your own logistics cost, what impact could fuel prices have on freight in, freight out, transportation between your factories, etc.? Is that something we should be thinking about?
Matt Simoncini: Yes, I think low fuel prices obviously benefit the larger vehicles and the trucks if you look at the historic trends and correlation. And I think we are starting to see that as well in the production mix, in the sales rates, in the expectations of the sales rates in the large product segments; SUVs, pickups and large domestic vehicles. So we are getting a tail wind that. And, Jeff, can you take him through what we are seeing on the freight logistics savings?
Jeff Vanneste: Well, I think you're exactly right in phrasing the question, that we have seen both from a logistics cost and the fuel costs -- necessarily fuel costs, but chemical costs as it relates to some of our foam buy, that the cost structure, both logistically and foam wise has been down. It's been a tailwind for us to offset some of the downside that we've seen in the currency devaluation. So it's provided a tail wind generally across the board on each of the commodities.
Ryan Brinkman: Okay great. Thanks a lot.
Operator: Your next question comes from the line of Brett Hoselton from KeyBanc. Your line is open.
Brett Hoselton: Good morning, gentlemen.
Matt Simoncini: Hey, Brett.
Brett Hoselton: M&A -- I was hoping, Matt, you might be able to provide us with a little more detail on what you might be seeking in the area of the electronics or electrical business? What types of acquisitions might you be looking for or targeting?
Matt Simoncini: Really, software houses that can help us with our -- expand our industry leading gateway modules that help us move signals within the vehicle but also bring signals in from outside. Software capabilities, connectors would be great for us as we connect devices. What we're now looking for is to be a main participant in active safety or self-driving vehicles, where we're focused more on the moving of the signals and connecting the devices. The live electrical distribution provider, i.e. wiring; if it provided a diversification of customer mix or geographic diversity would be interesting for us, but again, Brett, everything has to be at the right valuation to make sense. We're winning business without it, and we continue t have industry leading smart junction box technology and gateway, but this would facilitate growth. So we found the right firm we would absolutely make the investment.
Brett Hoselton: And in terms of say, size, of the company or something along those lines how would you kind of characterize it? Should we expect these to be largely bolt-on acquisitions or is it possible that you could make quite a meaningful acquisition with possibly one of your major competitors?
Matt Simoncini: Yes, I don't see the major competitors for a few reasons; I don't think it make sense. They are typically strong where we are. In many cases, not available or they're available at a multiple that doesn't make a whole lot of sense for Lear, and it doesn't make a whole lot of sense for our customers ultimately who will actually impact the decision-making process. So I would tell you that I don't foresee that, I don't think that's going to happen. I do think it will be more in a bolt-on range, really about adding capabilities from a tactical standpoint, and then leveraging that technical capabilities against our customer relationships, and footprint, and being able to expand it that way, and I think that's the better investment options for our shareholders, and the better solution for our customers.
Brett Hoselton: And I know this may go contrary to some of the investors that you've been speaking with here, but is there any consideration of adding a third leg to the organization? Or is the focus going to be primarily on growing seating organically and then growing the electric organically with some possible bolt-on acquisition?
Matt Simoncini: More of the latter, I really don't see a third leg for us. I don't think it makes sense. I'm really happy with the product portfolio as it stands right now between the two business segments. I think both have growth opportunities. I think the content explosion in electrical is great. I think the cash generation in seating is outstanding. So I'm happy with the product portfolio, and I do not see a third leg at this point.
Brett Hoselton: Excellent, thank you very much, Matt.
Matt Simoncini: You're welcome, Brett.
Operator: Your next question comes from the line of Richard Hilgert from Morningstar. Your line is open.
Richard Hilgert: Thanks. Good morning everyone. Thanks for taking my question.
Matt Simoncini: You're welcome, Richard.
Richard Hilgert: On the European revenues, down 3.2% for the quarter; we've got the Euro down about 18% versus the first quarter last year. Is there something in there that -- your production was higher? Eastern Europe was higher. What was it that offset --? Maybe you have an organic Europe revenue percentage change number you can give us?
Matt Simoncini: Well, I think generally speaking, we had backlog in the quarter specific to that region to kind of offset some of the impact of the devaluing series of currencies there. We also had in some cases some positive mix on our specific programs, as we don't sell to the overall market, we sell to specific car line. So we didn't get a mixed tailwind, I think more predominantly in the seating side of the business and on the electrical side. Some of our key programs in electrical, Focus, for example, was down year-over-year, but generally speaking, it was the backlog that came on during the quarter, and at an overall basis some of our key programs were higher on a year-over-year basis to offset some of the impact of currency.
Richard Hilgert: Okay. And then on the margins, was there any impact from the currency there that helped the margin to be more favorable, where you've got some U.S. dollar revenue but some costs in Euros or something?
Matt Simoncini: That's more on the transactional side, when you get paid in one currency and have to pay others. I think as a general rule, there is a number of different currency payers that we deal with there. But on the transactional side, generally we will get paid in Euros and have to pay labor and overhead in some of the Eastern European countries in the local currencies. And generally speaking, from a transactional perspective, it was a negative in the quarter.
Richard Hilgert: Okay. So, you've gotten a positive margin expansion even though currency was a headwind towards the margins in the quarter, is that fair to say?
Matt Simoncini: No, I think from a margin perspective, for example, electrical; electrical is a higher margin business in Europe than our seating business, for example. So as you translate the income statement back into U.S. dollars at a devaluing currency, it's going to have an impact, and it had a greater impact in the quarter on our electrical business, given the higher margin profile that, that business has in Europe in the seating business.
Richard Hilgert: Okay.
Matt Simoncini: So I mean overall I think the question is, did it have a -- it was more of a negative effect than a positive effect to the business if it sorts itself out, it could be a tailwind.
Richard Hilgert: Okay. And just wanted to get a little bit more insight into South America, you know, the run rate was declines of the high teens up until this quarter. Did you have specific customer shutdowns or something going on down there that made the drop so much larger in the first quarter?
Matt Simoncini: We did have certain shutdowns, lower productions, and mixed shifts, if you will, and it's fairly pervasive across the Board as far as delays because I think everybody is experiencing that problem, but we also had certain programs that didn't make sense for Lear to do that we gave back, so we had a negative backlog, if you will. So it was a combination of factors. I think everybody is kind of struggling with that segment. I think everybody sees the long-term value of being with, but it's going to go through some pain in the near term before I think it gets back to a profitable region, if you will.
Richard Hilgert: Okay, great. Thanks, guys. I appreciate it.
Matt Simoncini: You're welcome, Richard.
Operator: There are no further…
Matt Simoncini: Yes, I was just going to say, I think that does it for the Q&A. And probably all that remain on the call now is the Lear team, and I want to personally thank all of you for your hard work and dedication and attention to detail because these results just don't happen by luck or happenstance. It happens through hard work. I want to urge all of you to remain focused on attacking waste at all levels and inefficiencies at all levels, and I know if we do that, we're the best team in the industry, we will remain successful. So, thank you.